Operator: Ladies and gentlemen, thank you for standing by, and welcome to the DXP Enterprises, Inc. 2020 Second Quarter Earnings Call. [Operator Instructions]. I would now like to hand the conference over to your speaker today, Kent Yee, Chief Financial Officer. Thank you. Please go ahead.
Kent Yee: Thank you, Mariyama. This is Kent Yee, and welcome to DXP's Q2 2020 conference call to discuss our results for the second quarter ending June 30, 2020. Joining me today is our Chairman and CEO, David Little. Before we get started, I want to remind you that today's call is being webcast and recorded and includes forward-looking statements. Actual results may differ materially from those contemplated by these forward-looking statements. A detailed discussion of the many factors that we believe may have a material effect on our business, on an ongoing basis, are contained in our SEC filings. However, DXP assumes no obligation to update that information as a result of new information or future events. During this call, we may present both GAAP and non-GAAP financial measures. A reconciliation of GAAP to non-GAAP measures is included in our earnings press release. The press release and an accompanying investor presentation are now available on our website at ir.dxpe.com. I will now turn the call over to David to provide his thoughts and a summary of our second quarter. David?
David Little: Good morning, and thank you, Kent, and thanks to everyone for joining us today on our 2020 second quarter conference call. Given these unprecedented times, we are pleased with our results for the second quarter and year-to-date as we hit the halfway point. I am proud of our tremendous DXPeople as they have continued to find ways to deliver financial results for all our stakeholders in the face of extraordinary challenges related to COVID-19. Accordingly, we remain well positioned to deliver strong long-term financial performance. We will position ourselves to drive sales growth, and achieve our vision of excellence for our DXPeople, customers, suppliers, stakeholders and communities. I will start this call by updating you on developments since our first quarter call, and discuss some of the actions we are taking to successfully navigate the rest of the year and beyond. Kent will then take you through the key financial details after my remarks. After his prepared comments, we will open for Q&A. Before I update you on developments since the first quarter, similar to our last call, I want to reiterate that our thoughts and prayers go out to all those affected by COVID-19. With the recent surge in positive cases, which we have experienced firsthand here in Texas, we are all aware that this pandemic is far from over, and it is still resulting in tragic loss of life, social isolation, significant economic hardship. As DXP, we have not escaped these many challenges, and yet, we feel very fortunate to be here and a part of DXP. We are a financially strong industrial leader, and we are finding ways to work through and remain successful today, while putting us in a position to be successful tomorrow. We also believe that we must be opportunistic and find ways to move forward with safety in mind and drive strategic growth. As I mentioned during our last call, in mid-March and into April, we've quickly rallied our team around 3 fundamental priorities, which were to maintain health and safety of our DXPeople, provide excellent service and support to our customers and manage our balance sheet on an expected lower near-term demand, to remain strong and poised for an eventual recovery. I am very proud of how our DXP team has managed and balanced these priorities in what continues to be an unprecedented and unique environment. Our second quarter results reflect us being - beginning to deliver on these priorities, while finding ways to work in our new normal. The recovery and rebound, that somewhat experienced in May and part of June, appears to be short lived, as cases picked up after stay-at-home orders relaxed and the businesses begin returning to work. In addition to implementing the CDC guidelines, we added cover - face covering requirements, enhanced social distancing in our locations designed to prevent the spread of the virus, while continuing to work. That said, DXP did experience a surge in internal cases, similar to what Texas experienced. Finally, we continue to limit travel, meetings, events, supplier visits, and we've continued to have those people, whom are productive and able, to work from home. In summary, we are adapting to operating safely in a COVID-19 environment, while also adopting new measures that can help to prevent the spread of this virus. In terms of business demand and COVID, our sales were impacted starting in mid-March. We experienced additional declines in orders in the months of April, May and June. The pace of decline appears to slow during the quarter, as sales per business day in April were down 12% from our Q1 average, while June was down 1% from May. In terms of our key end markets, upstream oil and gas continues to contract. The U.S. and Canada average quarterly rig count is down 57% from Q1 to Q2. This primarily affects demand within our Safety Services division and a subset of Supply Chain Services and other service center locations. However, DXP's Safety Services also performed plant turnarounds, which have been delayed but not canceled and should be a positive over time. Midstream oil and gas, as it relates to pipeline activity, continues to execute small projects and has not canceled any large orders, but we are now getting pressure to push some projects back into fiscal year 2021. Additionally, the bookings or projects we are winning tend to have a smaller average order size and less gross margin. Downstream and the refinery business has seen their utilization rates from Q1 average 88% to an average of 72% in Q2. While during this quarter, we experienced the largest sales decline within our Supply Chain Services business segment, we were expecting IPS business segment will suffer the largest sales impact, as new capital projects are tied to capital budgets and the oil and gas industry has yet to work through, ultimately, a demand problem. We believe this will improve when the country is further along and getting back to work. This means that DXP's IPS segment, which is CapEx dependent, is cutting expenses to make money at lower sales demand going into fiscal year 2021. We continue to see strength in gold mining, specialty polymers, bottled water, certain recreational, manufacturing, soap, food and beverage, agriculture, some chemical, medical, petrochemical, municipal and asphalt markets. On a segment and location basis, we are rightsizing to anticipate sales results with an anticipated bottoming in the third quarter. We are also supporting those markets that are experiencing growth. Customers continue to utilize DXP's B2B capabilities to increase their efficiencies. Our approach is to tailor each B2B experience to that customer-specific set of needs. DXP's B2B customers appreciate this approach and is a significant differentiator. DXP's sales professionals continue to use a variety of virtual tools to contact customers as well as they have started going back to traditional methods of entering the customers' facilities. Customers are focused on these partners that they have an existing relationship with, prior to COVID-19, we will continue to use whatever medium the customer prefers, and tailor our approach to their needs. DXP is always customer-focused, especially in the environment we have today, where we are listening to the customers' matters. In terms of our business segment, as I mentioned earlier, Supply Chain Services experienced the biggest decline, driven by oil and gas and transportation-related customers. Service Center regions that experienced growth year-over-year include South Atlantic, Alaska and South Central. Additionally, we saw growth in our California market. In terms of the strength in IPS backlog, we are continuing to see declines that are consistent with our customers' cutting capital budgets. This is consistent with our recent commentary, and we continue to monitor and compare our quarterly average backlog to previous cycles. Specifically, our Q2 average backlog is 6% below fiscal year 2015. Monthly average backlog - let me repeat that. Q2's average backlog is 6% below 2015's monthly average backlog, but 60% above fiscal year 2016's monthly average backlog. We continue to monitor the new bookings and the impact to our total backlog. As we move into the second half of fiscal year 2020, new bookings will be key for the later part of 2020 and our fiscal year 2021 IPS outlook. Regarding cost, we are tightly managing our business to a performance standard that results in overall company profitability. This will produce positive free cash flow. We are pleased to see more stability in gross margins since Q4, as we have continued to focus on consistent profitability within IPS and renewed emphasis on supply chain and pricing. We're avoiding discretionary travel and expenses. We are - we have benefited from the COVID-19-related trends, such as lower health care cost. We achieved record cash flow in the quarter, driven by improved collections and accounts receivable. Our strong cash flow results in a meaningful improvement in our liquidity and a reduction in total debt. Maintaining a strong balance sheet is critical to our strategy to invest in our capabilities through growth or acquisitions. In terms of acquisitions, our 2 most recent acquisitions have been in the chemical, municipal, pulp and paper, water and wastewater, food and beverage markets, and we look to fill in our capabilities in these markets across the United States and Canada. These markets benefited from stable trends and offer a greater balance to DXP's oil and gas end markets, which today, our oil and gas end markets are 42% of our total sales. As we start fiscal year 2020, we had planned on a more robust year of acquisitions. We quickly moved to understanding the impact of COVID-19 and the direction of the economy and the resulting impact on different end markets. And while there is still considerable amount of uncertainty in the second half of 2020 and going into 2021, we believe that certain end markets and the associated risk is manageable in the near to midterm. Accordingly, we have made the decision to resume our acquisition discussions. We have anticipated being able to close 1 or 2 additional deals by the year-end, while continuing to build a backlog of excellent companies, who wish to join DXP in 2021 and beyond. To summarize, I'm very proud of how our team has performed in this extraordinary environment to keep everyone healthy and safe, severe and support our customers and manage our business to a lower near-term demand, and taking care of each other along the way. As a leading distributor of highly engineered products and services, we believe DXP remains well positioned to support our customers and navigate this challenging period for the benefit of all stakeholders. We are closely monitoring the trends and adjustments as necessary to perform in the short-term, while continuing to build and manage for the long term. The second half of the year, we are going to continue to push - we're finding ways to be resilient and adaptive and find growth to support our business. With that, I will now turn it back to Ken to review the financials in more detail.
Kent Yee: Thank you, David, and thank you to everyone for joining us for our review of our second quarter financial results. Overall, DXP's second quarter results were good to see, and they reflect the following: sales demand pressures from COVID-19 and the resulting impact of various end markets, consistent gross margin performance and particularly within IPS and Supply Chain Services, SG&A reductions and record quarterly free cash flow generation. Our second quarter financial results do reflect, as I mentioned, the full impacts of the COVID-19-related sales demand pressures as well as the effect of an unfavorable year-over-year comparison. Last year, at this time, we experienced our strongest sales quarter since Q1 of 2015, which coincidentally was the last time we experienced an economic contraction. For the 6-month period ended June 30, 2020, total sales were $552.4 million and operating income was $17.7 million. Diluted earnings per share was $0.42 per share. Adjusting for onetime items, which I will review later on, diluted earnings per share for the 6-month period was $0.49 per share. Turning to our quarterly income statement highlights. Total sales for the second quarter were $251.4 million compared to $333.3 million for the same period in fiscal 2019. Sequentially, this is a 16.5% decline versus Q1 and a 24.6% decline compared to the second quarter of 2019. This primarily reflects the full impacts of COVID-19, as I have mentioned, and all 3 business segments being impacted by a minimum full month of shelter-in-place orders and the subsequent attempts at going back to work. Acquisitions contributed $4.5 million in sales during the quarter, a sequential decline of 14.2% versus the first quarter. Average daily sales for the second quarter were $4.0 million per day versus $5.3 million per day in Q2 2019 and $4.7 million per day in the first quarter of 2020. Adjusting for acquisitions, average daily sales were $3.9 million per day. As I mentioned earlier, the second quarter of 2019 was our highest quarterly sales performance since the first quarter of 2015. As such, the comparable performance was going to be a high hurdle mark on a year-over-year basis, regardless of COVID or any other circumstances. Regions in our Service Center Business segment, which experienced sales growth year-over-year, include the South Atlantic, Alaska and South Central regions. Key end markets driving the sales performance include food and beverage, mining, municipal and specialty chemicals. Service Center sales were down 15.7% sequentially, and declined 23.1% from Q2 of last year. In terms of Innovative Pumping Solutions, sales were down 13.6% sequentially and 25.4% compared to Q2 of last year. As David mentioned in his comments, we are monitoring the backlog as we experience declines. As we review monthly bookings and backlog, we are comparing these data points to our fiscal year 2015 and fiscal year 2016 averages, the last time we experienced contraction in our business. Our Q2 average backlog is below the fiscal year 2015 monthly average backlog by 6%, but significantly above the fiscal 2016 monthly average backlog by 60%. Supply Chain Services sales declined 23.3% sequentially and 29.1% compared to the second quarter of 2019. Supply Chain Services' second quarter sales performance reflects significant pullback in activity at oil and gas and transportation-related customers. Additionally, SCS has been dealing with customers temporary closing facilities for an extended period of time due to COVID or rationalizing some facilities altogether. Turning to our gross margins. DXP's total gross margins were 27.7%, a 12 basis point improvement over Q2 2019. This is a result of consistent performance from Q1 to Q2 within IPS, and 171 basis point improvement within Supply Chain Services. The Supply Chain Services improvement was the result of the loss of some lower-margin accounts, along with the addition of new accounts at a higher-margin with a better product mix. In terms of operating income, combined, all 3 business segments declined 153 basis points in year-over-year business segment operating income margins versus Q2 2019 and 16 basis points compared to Q1. Total DXP operating income decreased 416 basis points versus Q2 2019 to $6.8 million. Our SG&A for the quarter declined $10.1 million from Q1, with further reductions anticipated as we adjust to the current level of sales demand. We have benefited from our ability to quickly reduce SG&A levels and aggressively attack discretionary spending. We will maintain our cost discipline to weather the pandemic, but also strategically find ways to be more efficient for the long term. We are in the process of integrating recent and legacy acquisitions, which should continue to drive further benefits. That said, we are also mindful that the contraction associated with the coronavirus will pass. And from a resource and capability perspective, we want to be in a position to respond to our customer needs as we believe those who are in a position to respond today and tomorrow will gain the most market share. Turning to EBITDA. EBITDA was $12.6 million in Q2 versus $28.7 million in Q2 of 2019 and $17.8 million in Q1. EBITDA margins were 5% versus 8.6% in Q2 of 2019. Adjusting for other noncash unique and onetime items, EBITDA for the quarter was $15 million or 6% of sales. In terms of EPS, our net income for Q2 2020 was $2.2 million. Our earnings per diluted share for Q2 2020 was $0.12 versus $0.31 in Q1 and $0.73 in Q2 2019. Adjusting for onetime items, including legal, integration and severance costs, diluted earnings per share for Q2 would have been $0.17 per share. Turning to the balance sheet and cash flow. In terms of working capital, our working capital was $192.3 million at the end of the quarter. This amounted to 16.4% of our last 12-month sales and a $51.2 million reduction from Q1. This reflects a 300 basis point improvement versus Q1, and drives us closer to our historical averages. The improvement in working capital is primarily the result of improved collections with our average accounts receivable days experiencing an 8-day reduction from Q1 to Q2 or a $39.3 million impact. I would like to personally thank our accounts receivable team and their leadership for driving these improvements. In terms of cash, we had $78.7 million in cash on the balance sheet at June 30. This is an increase of $45.9 million compared to Q1 and $24.4 million since Q4. Cash provided by operations was a quarterly record $63.4 million. While we would have preferred this milestone would have been reached due to sales growth versus decline, we will continue to reiterate the strong cash flow model we have and the benefits when paired with the appropriate capital structure and working capital management. This resulted in another quarterly record of $61.6 million in free cash flow for the quarter, and we anticipate this to continue as we move to the second half of the year, which typically are stronger cash flow quarters. As they say, cash is king. In terms of CapEx, CapEx in the second quarter was $1.9 million or 0.8% of second quarter sales. Compared to the second quarter of 2019, CapEx dollars are down $4.4 million or 69.7%. CapEx during the quarter reflects our ability to control capital investment and the minimal maintenance needs of our business. Moving to the second half of the year. Capital expenditures will continue to decline on a year-over-year basis. Return on invested capital, or ROIC, at the end of the second quarter was 18%. At June 30, our fixed charge coverage ratio was 2.9:1, and our secured leverage ratio was 2.4:1. Total debt outstanding at June 30 was $228.1 million, which reflects $15 million in optional prepayments made during the second quarter. As I mentioned during our Q1 earnings call, our capital structure was built to match our strategy and ensure flexibility through different cycles. Additionally, it was parent acquisition capital, which are long-term assets with a long-term financial instrument of Term Loan B. As a reminder, we have no new - no near-term maturities as our ABL matures in August 2022, and our Term Loan B matures in August of 2023. In terms of liquidity, as of this call, we remain undrawn on our ABL and have over $209.7 million in liquidity. Similar to after Q1, we have made an optional $10 million prepayment on our Term loan B to further strengthen our balance sheet. David's comments covered the fact that we will opportunistically look to close 1 to 2 acquisitions before year-end. Coming into the year, we had a very robust pipeline, and we are on track to achieve our goal of 10% growth through acquisitions. While we did not close any transactions in Q2, our pipeline remains deep, and our commitment is steadfast to execute our M&A strategy and build upon the strong growth we have historically demonstrated via acquisitions. We are looking forward to eventually bringing on new DXPeople, who will make the DXP team stronger, expand our end market mix and support further performance and growth. In summary, our priority from a balance sheet perspective is to emphasize and maximize our financial strength and flexibility during these uncertain times without sacrificing long-term growth or market opportunities and position us to be opportunistic when any growth opportunities arise. Collectively, we have to find a way to move forward safely and position DXP to win today and tomorrow. I will now turn the call over for questions.
Operator: [Operator Instructions]. Your first question comes from Joseph Mondillo with Sidoti & Co.
Joseph Mondillo: I was wondering, Ken, can we start with the monthly sales per day just to get a sense of how this weird quarter has progressed?
Kent Yee: Yes, sure, absolutely. And I'll - what I'll do, Joe, is I'll just really go back to March and then kind of pull it forward and give you a flash, even for July. Sales per business day, starting into March, were $5,152,000. April was $4,128,000. May was $3,942,000. June was $3,903,000 and then July, flash is $3,234,000. So $5.2 million, $4.1 million...
Joseph Mondillo: Can you say July again? I'm Sorry.
Kent Yee: $3.2 million.
Joseph Mondillo: And so I'm just trying to do the math really quickly...
Kent Yee: Down 17% from June.
Joseph Mondillo: Yes. So it looks like your - I mean I have - if I have the correct historical data, it looks like you're down 25% to 35% in June and July?
Kent Yee: From a year-over-year perspective?
Joseph Mondillo: On a year-over-year perspective, yes?
Kent Yee: Yes.
Joseph Mondillo: And so maybe we can dive into that a little deeper. Where is the weakness coming from relative to, I guess, the main 2 segments, which are Service Center and IPS, down - it looks like the year-over-year declines are the worst thus far in July. Could you just talk about how you're seeing things regarding those trends?
David Little: Sure, Joe. I'd like to answer that question. The - there's really 3 data points that are important and we've got them all grafted out, et cetera. And one of them is the backlog, the other ones what are shipments and invoicing. And then the other one, often not looked at much, is bookings. So our - what Kent just gave you was the shipments and invoicing in the sales for each of those periods, and that's still declining. The bookings story is a little different. For the service center segment, bookings hit what appears hopefully be a bottom in June, and July actually went up, even though invoicing went down. And therefore - and backlog is kind of level. So on Service Centers, we're looking at Service Centers and really everything is for the year, this year, not compared to last year, last year was obviously, a much better year, and we - I'll hope that this year would have been a better year. But for this year, just looking at it, things are trending down a little, but they're not big numbers. And so in my opinion, sales will continue to trend down just slightly as we go through the third quarter. But hopefully, our bookings continue to trend up, which will mean that our backlog will start to level out and climb a little bit. So Service Centers looks good. And of course, that is just the MRO piece, assume maintenance, repair and operating and OEM piece of our business and by far the largest. You mentioned supply - IPS. IPS is the capital project side of the business. The backlog is trending down. Invoicing is trending down and bookings has - seems to have found a bottom, but it's found the bottom at a very low point. So that's to give you an idea, our backlog is around $84 million. And our bookings actually had an uptick also in July, but that went from $4 million bookings in June to $6 million bookings in July. And then of course, both of those numbers are way down.
Joseph Mondillo: Okay. Good color. I really appreciate that. It gives us a good viewpoint into the back half of the year. I guess, relative to the backlog comments, and maybe we can sort of focus on IPS. You mentioned in your prepared remarks that backlog is, I guess, comparable, you said 6% below 2015 and about 60% above 2016. So it looks like your sales, especially IPS, are looking more like - as far as the outlook for the back half of the year anyways, are looking more like 2016. So could you maybe sort of help us understand how bad IPS could get maybe in the back half of the year? However you want to compare it relative to 2016. Or however you want to talk about it.
David Little: Yes. So that's right. And just a refresher, I think everybody knows this, so '15 was the start of a down cycle and '16 got worse. And then '17, was a bit of a recovery and '18 was a much bigger recovery and '19 was up some more. And so - and then now we're back on a down cycle. So when we look at IPS, compared to '16, as you pointed out, I somewhat agree that it's going to be like '16. And if I'm correct, and I think I am, if it wasn't - if we took impairments and other things out of there that are noncash transactions, IPS can stay profitable all through the cycle. It has to downsize, and it does produce less CapEx projects, but they haven't gone away. We still have a healthy backlog, and so IPS will have declining sales for some period of time until things turn around, but it will be able to manage to stay profitable.
Joseph Mondillo: Okay. Great. So I guess, last question, and I'll let someone else have a shot at it. Regarding sort of just your cost management, just broadly speaking, how much - first off, how much temporary cost did you take out in the second quarter? Or maybe, I don't know, government benefits or anything like that that you saw in the second quarter that are not going to reoccur in the third quarter? And then I guess, secondly, just broadly, can you talk about what you're doing with costs management? Should we expect more in a broad level in the second half? Are you taking out anything permanent? Maybe you can just address all of those topics on cost.
David Little: Sure. First of all, I would like to say that I didn't know the government was giving money away to public companies. So if I've missed the boat there, please, I'd like for you to point me in the right direction.
Joseph Mondillo: I heard a couple of companies have some benefits - certain benefits. I don't know if there are tax benefits or what. But...
David Little: Well, we have over 500 employees, and we're public. So we - anyway, we haven't gotten any. Yes, Congress hadn't seen fit to give us any money. But we would like to take some. The only thing we're really struggling with that's a loss, and is our Supply Chain - no, I'm sorry, is Safety Services. And Safety Services is tied to drilling and turnarounds. And so the turnarounds have been put off. And so they hadn't any turnarounds. And the drilling activity is way down. So that business has just had declines in revenues that are beyond its ability to cut expenses or not. So that said, the rest of the business is performing pretty good considering the losses that, that is generating. That's - so I guess we don't - Ken, I don't know if you want to address the specifics? I don't know if you have those kinds of numbers? I don't think in terms of those kinds of numbers. What I think is I have a location, it's in Midland, Texas, the heart of Permian Basin. And I used to do some number, I'm not going to give my competitors' numbers exactly, but some number, and now they're doing half as much. And - but that half as much, they're still making money. And so we manage the business to a performance standard that says "Hey, your contributed margin, we get that you used to make X, and now probably the best you can do is make 8% of sales of a much smaller number, but that's what you're expected to do. And so our people, they know how to do this. And so they're going through the process of making that happen. And when they do that, and then our corporate SG&A is 5%, well, then we make money. So that's what we do. We do it by every location. And if the location just can't stay profitable, then the consideration is to close it down or if we think it's just temporary and things are going to come back for them, specific to them in their market, then we'll let them keep kicking for a while. Kent, do you want to add anything to that?
Kent Yee: Yes. No. The only thing I'd add to that, Joe, is I think you were getting at, are there any kind of onetime kind of cost reductions in Q2 because that reflects the full brunt of COVID. And all I would say is we - to David's early comments, we don't really necessarily approach it that way. Yes, there is the employer portion of social security, which we're deferring from a cash perspective, but that's more so cash management. And so - and that doesn't really feed through the financials the way you would think it would. Everything else is - in our speak, is, for the most part, hard cost savings will reflect kind of the demand that we're seeing and the outlook that we're seeing. And so yes, bonuses are down. Yes, we've put in to some actions that we normally do in a depressed economic environment, but those aren't necessarily "onetime in nature". They are a result of us just kind of how we manage philosophically and think about the business until we return to growth. And so we've run rate taken out over $28 million worth of cost out of - $28 million of 2019 cost out of the business. And so that's happening in real time. And so we'll continue to make money as we move through the cycle. That's always our goal. But as David ended his comments with is those markets where we see growth, which there are some, will allow those people to invest and grow the business.
Operator: There are no further questions at this time. Ladies and gentlemen, this concludes today's conference call. Thank you for participating. You may now disconnect.
David Little: One second. One second. Joe, you may have some more questions. If the other party is not going to ask any questions, that's fine. But Joe, if you have some more go ahead requeue that up. We don't want to cut you short.
Joseph Mondillo: Am I - can you hear me?
David Little: Yes. You're on.
Kent Yee: Yes, we can.
Joseph Mondillo: Okay. All right. I wasn't sure if I was still live or not. Yes. So we did have a couple of other questions. I wanted to ask about the Supply Chain segment. It was lower than I was looking for, but not a total shock to me because I'm guessing some clients and customers are just trying to shed some costs in what was has been a very challenging quarter for certainly some types of companies. Could you just talk about what you saw in the quarter? And sort of what your outlook there at that segment is?
David Little: Joe, thank you for asking that question because it's kind of unique. What happened to supply chain services? Normally, they're going to have a dip that's kind of just based on what the customer is going to buy a little less. And so they normally don't go down very much. Historically, that's always been the case. In this particular case, we actually had customers that closed or shuttered facilities. And so all the volume that we would get from that particular facility just totally went away 100%. That said, all the expenses for servicing that facility went away 100%. So consequently, the sales - there's not a real big leverage point here that the sales went down, whatever they went down 20%, then our profitability dollars went down 20%. But as a percent of existing sales, they're able to maintain that because of what I've said, both sales and expenses all went away because they closed that facility. Also, on top of that, the facilities that typically get closed and the reason for it is they're not great performing facilities. And if they're not great performing for the customer then they're probably not performing that well for us either. So a lot of what - the sales went away, but they weren't making that much money for us anyway. And so it wasn't a big dent to our bottom line. So I really want to make that point because I think when we look at the numbers, the top line did go down significantly and the bottom line didn't go down as much.
Joseph Mondillo: Okay. So it must have been a pretty big customer as far as the top line, but I guess, it's - as far as the profits...
David Little: Yes, yes, yes. It was - yes, it was an aerospace company. They manufactured airplanes. So I mean we don't - so we don't need any airplanes right now. So...
Joseph Mondillo: So is the second quarter that - that a good run rate then, I suppose?
David Little: So when I look at my other chart that I talked about that has the 3 points on it, it looks like, on bookings, that the June was their low point - no, I'm sorry, May, May was their low point and June went up, and July was flat. So we're kind of - we're thinking that they've seen the bottom, and that the third quarter will be a little better. Not a lot, but a little.
Kent Yee: Joe, this is Ken. The only thing I'd add to David's comments that we are subject to in this segment, which is pretty unique, is when you're in the Service Centers and IPS, we control our own facilities, meaning opening. And as long as we're getting orders, we're working to service our customers. When you're in the Supply Chain Services side, we are a little bit subject to the wins of our customers because a lot of the times we're in their facilities. And I only point that out because if there is one thing that pandemic has taught us about Supply Chain Services is that if they want to take a certain approach as it pertains to safety, closing their facilities, we're totally subject to that. And so that's a little bit also with what JJ, who runs that segment, is dealing with on a day to day kind of in a real time basis. So when you have these flare-ups in cities and municipalities, where we have locations, you don't know how these different companies are going to respond. So...
Joseph Mondillo: Got you. I also wanted to ask about just so your - the inventory management through the downturn here. Your inventory at the end of the quarter was still up year-over-year. What are your thoughts on that? And how are you thinking about inventory management through the back half?
Kent Yee: Yes. No, that's perceptive.
David Little: Yes. I asked that same question. I asked that same question, I said, what are you all doing over there. But anyway, the answer is, it's coming. It hasn't trended down yet. It's only been - we really weren't until we were into April before we made adjustments to inventory. And in April, we made adjustments. So they just haven't really shown up yet. But the second half of the year, inventory levels should come down.
Joseph Mondillo: Okay. And I guess last question I have just regarding M&A. You mentioned the 10% target. And I know this is just sort of a general sort of goal that you have on an annual basis. But 10% is pretty sizable. So I'm just wondering sort of what your thirst is for size of acquisitions? You mentioned 1 or 2 by the end of the year, so I'm just curious on what you're thinking regarding capacity related to the balance sheet?
Kent Yee: Yes. Joe, this is Ken. I think we're in discussions with 1 or 2, believe it or not, companies where they have actually experienced growth in this market. And so the quick answer is, with the amount of cash we have on our balance sheet from a credit agreement perspective, we only get credit for the first $30 million. And so every dollar over $30 million, we have to ask ourselves from a capital allocation perspective, is it more appropriate use to pay down debt? Or in this instance, can we buy growth if it makes sense? Meaning pro forma for the transaction, leverages in compliance and from a diligence and business perspective, we think their business is going to grow. If all those things are true, then Joe, effectively, we have really more than likely, depended by - your structure of the transaction, we probably have delevered the business slightly from a credit agreement perspective. And so those are some broad comments I'd give. I would say, in terms of average transaction size, I think the comment more so in our scripts were indicating that coming into the year, we had a pipeline that looked like we were going to achieve our 10% growth through acquisitions. And so it's - we're not signaling necessarily that, "Hey, we've got 10% growth in the pipeline today." I think what we're more so signaling is that we want to - we're returning to those discussions because we're starting to understand the impacts of COVID better, and there are some exceptions to the rule of areas where we're finding pockets of growth. And so if we can acquire those businesses, they're falling in our average transaction size, I'll call it, which is, call it, typically $25 million or less. And so - but there's a lot of things that have to be met for us to do those transactions. But I think it's - we're turning to discussions, we had a robust pipeline, we are seeing some businesses that are holding in this environment. And if we have opportunity to pick them up, we're going to try our best.
Joseph Mondillo: And what is the general leverage threshold?
Kent Yee: Leverage today from a - well, leverage today from a credit agreement perspective for total DXP is 2.4x. Historically, to answer your latter question, we've typically kind of peaked out at around 3.5x. Now our outside covenant is at 4.5x from a credit agreement perspective. And so once again, we're monitoring this real time. And so some of its math in real time depending upon where DXP's base - total DXP's business is from a trailing EBITDA perspective and where we think it's going to go going forward, and then also subsequently with the acquisitions. But once again, not to get in the weeds here in the details, but if we don't get credit for any dollars, over $30 million worth of cash on the balance sheet from a credit agreement perspective. So there's multiple things we can do with that. And today - as of today, for example, we have $96 million worth of cash on the balance sheet. And so that's a significant amount of cash. Obviously, in Q2, we optionally prepaid $15 million here more recently. We're going to pay down $10 million - paying down $10 million in real time. And so - but that still leaves us with, call it, north of $80-plus million worth of cash. So once again, if we're finding businesses that are growing or stable with EBITDA, and we're stable, the math does work in certain scenarios.
Joseph Mondillo: Sure. Okay. Great. Well, I appreciate you taking my questions today and good luck with the back half of the year.
David Little: All right. Thank you, Joe. Appreciate it.
Operator: There are no further questions at this time. Ladies and gentlemen, this concludes today's conference call. Thank you for participating. You may now disconnect.
David Little: Thank you.